Sean Summers: Okay. Good morning, and welcome, everybody, to our H1 FY '26 results presentation, a special warm welcome Mrs. Ackerman, Wendy, good morning. Welcome, Gareth, and all my colleagues from Pick n Pay. And everybody, both online and here, in the auditorium, it's great to have you with us this morning. As part of the introduction, I just want to quickly flip over and just to give a little bit of an overview of where we find ourselves now on our journey in Pick n Pay. It's been quite an interesting 24 months since I returned and it's been a bit of a compacted time period. In some dimension, it feels like I never ever left Pick n Pay, but the last 2 years have really, really flowed and gone by fast. And the great thing for us is that, if we have to sit and really be truly honest with ourselves, and we cast our minds back about 18 months ago, not even 18 months, maybe 15, 16 months. When we put forward the business plan in May of what we were going to do in terms of restoring the fortunes of Pick n Pay. I can say with all honesty that there is not much that we would have done differently. And for me, honestly, as you know, it's the only thing that you can deal with in life and we continually are asking ourselves a question, are there any other levers we can find or are there any other levers we can pull, and they certainly are not. So all of the levers that we have identified, all of the levers that we are busy pulling and pushing and juggling are absolutely on track at this stage. Would we like things to be faster? In fact, I was sharing with my colleagues when we were here yesterday, preparing for this. I would rather have been racing up the hill in Cape Town and the hill climb than being in the room over here because that's how I like life. I like things to be much faster. But certainly, one needs to be considered as well because otherwise, you don't get to the top of the hill. And that's our journey that we're on. So I think very importantly, let's jump straight into the numbers. So I'd like to call on Lerena. Please come up, Lerena. Thank you.
Lerena Olivier: Thank you, Sean. Good morning, everybody, and thank you for joining us here in person and also online. Following the completion of the successful recapitalization program in our previous financial year, our focus is now squarely on operational execution. So I'm very happy in this result to focus on operational metrics. The group delivered a solid result for this half. We have successfully executed across various strategic priorities. The group's turnover grew 4.9%, 4.7% on a like-for-like basis. We delivered meaningful improvement on all of the key metrics. We've improved our headline loss by 45%. This improvement was driven by trading profit improvement of ZAR 227 million coming from both Boxer and Pick n Pay, and it was definitely supported by the positive swing in interest of ZAR 537 million. We ended on a balance sheet that is strong with ZAR 5.1 billion of cash. We've again increased our segmental disclosures in this result. We've expanded some lines on the P&L that we do per segment. And we've also added for your benefit into Appendix 1, EBITDA and trading profit after leases per segment. For the purpose of this result, Boxer has already presented their results 2 weeks ago. So I will briefly touch on Boxer, but the focus will be Pick n Pay. Both Sean and I will focus on the Pick n Pay result. This is our primary goal to turn the business successfully around. Our strategic priority remains growing our like-for-like sales growth across both our franchise and our own stores. For this half, our company-owned stores grew 4.8% on a like-for-like basis and our franchise business 1.7%. What is important is that we now have 3 consecutive periods of continuous growth improvement. We've delivered positive like-for-like growth of 2.2%, and our internal selling price was contained at 2.1%, well below CPI Food of 4.6%. I'm also happy to report that this momentum does carry through into the second half. Of specific importance for me is the improvement in our franchise issues, up 1.7% compared to the decline of 1.4% in the preceding half. Our franchise business is extremely important to us. They remain a critical growth driver for us, and the improvement in franchise issues reflects the improvements we are making in our franchise model. Our omnichannel grew 34%, 44% up in asap! and Mr D. Our clothing business continues to grow. They're up 12% in a very, very tough market. Hazel and her team opened 9 more stores in this half, bringing the total estate to 424 stores. The Pick n Pay segment itself delivered ZAR 36.3 billion worth of turnover. That is the same number than last year. This is notwithstanding the closing of 59 stores as part of our Store Estate Reset program. Sean will give more detail on this, but this is now largely completed with only a few more stores coming through in the second half. The actual turnover achieved reflects our relentless focus on operational and customer-facing initiatives. The Pick n Pay business is not smaller year-on-year. And as the store closures are now largely in the base, we will continue to grow into the future. As I've mentioned in my opening remarks, we have again segmented Pick n Pay and Boxer and we'll be presenting the results separately in this presentation. I will now take you through the results of each of them individually. The group now owns 65.6% of Boxer post the IPO in November 2024. Our Boxer business grew turnover by 13.9% and delivered a trading profit improvement as consolidated by the group of 16.2%. They maintained a trading margin at 4.1%, aligned with the business philosophy to reinvest any gains in their customer offer. Marek and David presented the results on the 13th of October, and I would really like to congratulate them on a job well done. They are now looking like seasoned results professionals. The full Boxer result is available on their website. There we go. The Pick n Pay key metrics reflects progress across all our strategic initiatives. All of these are needed to achieve our goal of getting the business back to profit and cash flow breakeven. There were 2 main drivers of the improvement in the Pick n Pay result. There is an interest benefit year-on-year as a result of the recapitalization program. The number in the Pick n Pay segment is ZAR 598 million. And we had an improvement in our trading loss of ZAR 97 million. I will unpack these 2 individually in the following slides. The ZAR 97 million improvement in a trading loss delivered a trading loss of ZAR 621 million. Our trading margin improved by 30 basis points. This was supported by a 40% improvement in our gross profit margin, and I will unpack that in the next slide. A slight increase in our trading expenses, up 20 basis points as a percentage of turnover and a pleasing increase in our other income, up 2.7%, supported by our increase in commissions and other income of 6.3%. This is very pleasing for us given the fact that the group's turnover was flat year-on-year. We have successfully executed our Store Reset program. There's only a number of stores that will still come in the future. We have avoided losses of close to a ZAR 100 million in this result. These were reinvested to support building the muscle we need to create retail excellence for our Pick n Pay turnaround plan. It is very important to note that to achieve this remarkable like-for-like improvement, we needed to make sure that we've got the right skills on a store and operational level. That is what we need to ultimately deliver on our turnaround plan. In this half, we've delivered on the like-for-like sales growth. We've delivered on our gross profit margin improvement. We have reinvested the savings we've made out of the successful Store Reset plan in key retail skills in our business. As a result, our like-for-like expenses grew 6.2% compared to our turnover of 4.4%. That is the reason why the progress on the strategic plan is not yet making a material improvement on the trading loss in the business. We have made great progress, but we have more to do, and it will take time. We are focused on building a sustainable business. We will not chase quick wins just to make the results stronger in the short term. We are building a long-term profitable business. As a result of this, the improvement in the trading expenses will come, but it will take time as we execute our Future Fit strategic initiatives. The gross profit margin increased by 40 basis points, as I've mentioned, up to 16.9%. This was supported by key improvements in category mix, specifically in general merchandise, clothing and our fresh range. We had a notable reduction in our waste, specifically in Fresh as in-store operations improved. We've also improved our buying and our logistic efficiencies. Notwithstanding these improvements, we also made investments. Pick n Pay is price competitive. We have achieved this while improving our customer offer. We now offer an increased range at better prices without compromising on our inventory control. We have also invested in our franchise model. We have reduced the sales margin to our franchisees to ensure that these very important partners improve their underlying profitability. The improvement of the 40 basis points on this line item is therefore a very strong achievement considering the investments that we made during the period. Our trading expenses are up only 0.9%. This reflects the impact of the Store Reset plan. On a like-for-like basis, the increase is up 6.2%. The increase in like-for-like expenses were driven by the building blocks of the Future Fit business. We continued selective hiring in key skills to drive turnover. We have increased store training in a focused and effective manner. We've increased brand investment, I'm sure most of you would have noticed. While we are focusing on spending in the right areas, the remaining expenses remains well controlled. As I've mentioned before, we are acutely aware of the need to ensure that our like-for-like expenses increases by a rate less than our like-for-like turnover growth, and this remains a key focus area for us. Pick n Pay's net finance costs reduced by 60% for the period. This as a result of the FY '25 debt paydown. This, alongside a reduction in our net lease interest of 2.2%, reflecting the successful Store Reset plan has really supported the year-on-year profitability of this result. The group's headline earnings per share showed significant improvement, up 56.2% This, as I've mentioned before, was supported by the interest swing on a group level of ZAR 537 million. Two additional items impacted year-on-year comparability. We've got a 25% increase in our weighted average number of shares as a result of the Rights Offer in August 2024. We also now have a controlling interest of Boxer of 34.4% post the IPO in November last year -- not last year, November 2024. Excluding these items, alongside the interest saving, our headline earnings per share increased 27.8%, reflecting the trading result improvement in both Boxer and Pick n Pay. Pick n Pay ended the half with ZAR 3.9 billion of cash on balance sheet. The cash utilized from operations of ZAR 0.8 billion is in line with what we've done last year. The improvements delivered through the Store Reset plan were reinvested and, therefore, it's reflective in the year-on-year EBITDA number being flat. To build retail excellence, we need to deliver this plan. We absolutely have to invest in these skills to drive top line across FY '27 and FY '28. Interest received for the year was just over ZAR 100 million, reflecting the improvement of ZAR 0.5 billion year-on-year. The working capital and CapEx movements, I will unpack in the next slides. The net result was a free cash flow utilization of ZAR 0.3 billion for the year, in line with our plans. I guided at the full year FY '25 result that we are aiming to half the cash burn for the Pick n Pay segment of last year of ZAR 2.6 billion. We are now forecasting that the cash burn for this year will be approximately ZAR 1.6 billion. The group released working capital of ZAR 1.7 billion for the half. This is across both Boxer and Pick n Pay. This is in line with our normal H1, H2 seasonality, and this benefit will be absorbed during the second half of the year. There is some cutoff as well, but both the cutoff and the seasonality will unwind in the second half of the year. What is important to note is Pick n Pay's continued working capital improvement. Our inventory declined by 3.5%, notwithstanding the fact that our turnover year-on-year were flat, and we reinvested in our ranges. There has been a continuous focus on optimizing inventory in the business. We've also seen a continued improvement in our franchise debt as the impact of the new franchise model is supporting our franchisees. I am very comfortable with the working capital levels of both Pick n Pay and Boxer. The group invested ZAR 0.9 billion during the first half of this year. Both Boxer and Clothing continues to invest to support their growth ambitions. Pick n Pay forecasted spend for the full year is just under -- apologies, Pick n Pay's forecasted spend for the full year is ZAR 0.9 billion. This is an increase from the ZAR 500 million of last year. The Pick n Pay spend remains measured. We are spending on key revamps where we know we can get the maximum ROI and critical repairs and maintenance. Our focus remains an investment in OpEx and the skills we need to drive our like-for-like turnover growth. The group ended with cash reserves of ZAR 5.1 billion, ZAR 3.9 billion in Pick n Pay and ZAR 1.1 billion in Boxer. Pick n Pay itself has got ZAR 3 billion worth of working capital facilities. These are unutilized, unsecured and not guaranteed by Boxer. Our balance sheet is strong. It will support Boxer's growth and Pick n Pay on its turnaround path. I now hand over to Sean to take you through the operational review.
Sean Summers: Thanks, Lerena. So as we see, it's definitely work in progress. And as I've said, it's a case of just steadily putting one foot in front of the other as we continue on our journey. And there are just a couple of specific call-outs that I would like to make in this regard. So we said that in terms of strengthening our core customer offer that we would apply a lot of our energy and effort in terms of ranging in the store. And we can see that the ranges are dramatically improved and enhanced at store level. And it's one of the reasons why we are driving our like-for-like sales growth because when you look at our absolute numbers in the total stores that we've closed over the period of time in the last 2 years, 18 months that we've been going at this project. We have -- while we've been taking some sales out of the business in the closed stores, we've managed to reinject like-for-like sales growth back into the stores again with enhanced ranging. On a quality basis, we've applied a lot of our energy and attention as to what happens at store level operationally with skills and injecting knowledge back into the business again. We can see that on the value front from a marketing perspective that we have really, really put our strong foot forward in terms of marketing. Our relationship with FNB eBucks continues to be a fantastic relationship that we have. And all of the work that we've been doing with the Burger Fridays and the work that we do on Saturdays and Sundays and all of these promotions that we're doing has really been driving a good value proposition across the business. And then on the service front, we have been applying a lot of our energy and effort into training of our people again and actually getting and creating schools for blockman, bakers and regetting these skills back into the company again because these skills are not just freely available. It takes time to train these people up. A lot of focus, and if you go back, Pick n Pay was always known as the fresh food people. And to a large degree, we had lost that. And this is one of the major journeys that we're on at the moment, is reinvigorating our whole fresh offering in the company and getting back on to this virtuous circle, and we're starting to see the rewards coming out of this now in terms of the work that's been done under Peter and the Fresh food team. In terms of online and what we do with asap!, we relaunched the asap! app this year, and we have consolidated everything into the one app to make it far more user-friendly, and we're now up to a range of 35,000-odd products in asap!. asap! continues to be a very important part of the offer that we have in the company. And for those customers who want their goods delivered home, we will do it gladly with the greatest of pleasure. But our primary focus as a retailer still remains, number one, on having great stores with great product, great people and great shopping experience as the backbone of what we do. Franchise. I'm pleased to report that our franchise has moved positively into -- I think this one was about minus 1.4%, now up to 1.7% like-for-likes in franchise, and that's moved forward strongly. And we had a fantastic franchise conference 2 weeks ago in Johannesburg. And I'm pleased to say that our relationship with our franchisees today is as strong as it's ever been. The changes that we've made on the franchise model are working very, very well. And just in general, you just get a good feeling when you go around the company and you visit with the franchisees. And it's just extraordinary. We had 2 of our great franchisees this year that won the awards came from Stutterheim and [indiscernible]. And if you look at Stutterheim, I mean, our franchise family in the area of Stutterheim, they almost run that town in terms of the work that they do with council and community and everybody. It's just extraordinary to see how these families really, really operate in these marketplaces. It's just too beautiful. Our hypermarkets is another key area of focus for us where we are really putting the real essence of hypermarkets back into hypermarket again, and we're seeing great success in this regard. So some of our larger stores where we sort of got a 6,000 square meter -- where we're not GLA, we've got 6,000 square meter trading on the floor, 5,000 square meters on the floor that we're converting this over to hypermarkets. We're putting enhanced GMD ranges back in there again, and we're getting extraordinary success with this format. And I see Jarett sitting over there, well done. We're really getting good traction there. So if we look at where we are and we have a look at our acceleration in like-for-like sales, it really is extraordinary in a very, very constrained market. And I think one needs to be realistic in life about the marketplace that we do operate in. And it's interesting in this marketplace because at the moment, we have a retail space where we're still seeing a lot of doors being opened by our competitors. One of them alone is over 300 new doors in the last year. And you take that against us closing 50, 60-odd stores over 18 months. So if you just have a look at the dynamic of optionality for consumers to shop elsewhere, it really is extraordinary that we managed to grow the like-for-like sales to the degree that we have. And I'm always realistic about these things. If you ask me what is one of the real pleasant surprises that's really surprised me, it's actually been our ability to show this level of like-for-like sales growth. And again, I'm realistic about these things because you can never ever fool yourself and end up in a sort of a fool's paradise because people tell you what you want to hear. Sometimes when you sit with suppliers, vendors, landlords, they also tell you what they think you want to hear. So you need to keep your feet in the ground. But we have various ways that we can read markets. There are certain market surveys and stuff that are done out there. And I'm just really so astounded by the fact that our continual market share decline that we were in has, in fact, bottomed out, started to solidify and starting to move in the right direction again. And that's in the market, and that's total market. And that's moving into a market where we're just seeing so much other optionality that's available out there. So it's extraordinary in this regard. And hopefully, this trend will continue to move forward in this direction. We obviously have some challenges in this marketplace as well. We're now coming to annualize on the [ two-pot ] release that happened last year. So it's going to be interesting to see what effect that's going to have in the next weeks and months as that starts to annualize and move through. And then obviously, a very tough market that we're in. But in terms of establishing a future-fit business, as I said at the opening, if we went back with the benefit of hindsight and looked at what we've done in the company, what would we do differently, there would not be much that we would actually be doing differently. And so in all of these metrics that are over here, there are 2 that I'd like to specifically call out. And the first one is the Store Estate reset, which is nearing completion. Now it's always fascinated me how Pick n Pay closing stores has predominated in all of the media and everything you read is Pick n Pay is closing, Pick n Pay is closing, no. We got rid of stores that were no good. That's just the simple truth of it. And it is something that every single retailer does. We hadn't done enough for a long, long period of time. The journey is done. There will be a few more left that we're going to mop up at the end. The great thing here is if you have a look at 27 of the stores that were originally identified have actually either turned to profit or coming back, getting close to turning to profit again. And even at a breakeven level, at a store level, it still contributes to the center. So this thing is neither -- it's a very dynamic process, and it's not necessarily linear or binary. So this journey is done. And from here on in, as we review leases as they come up, we will continue to assess each lease on a store-by-store basis because in some places, demographics change, the center of what's happening, the taxi rank moves, stores now are rendered no longer in the right place, and that will just be part and parcel of what we do. So I'm pleased to say that this is basically done, which is fantastic. The other really great one is our strategic supplier partnership that we have here. And as we know, our Eastport distribution center, which is the most extraordinary facility. And as I've said to Marcel, I think Marcel, I saw you walking in earlier. There's Marcel sitting there. As I said to Marcel in the beginning, don't be defensive of this, Marcel, because in the brief that you were given, you achieved 11 out of 10. You built a magnificent facility there, unfortunately, for the wrong company. It was too big, way too big. So I'm pleased to say that we've signed our MOU with DP World and the Eastport facility has now moved off to DP World, and we will be getting those savings and start to get those savings almost with immediate effect. So it's an extraordinary job of work that has been done. And I'm pleased to say that Eastport is now currently almost fully utilized because they have the ability to put some of their existing clients that they have into the building. And some of those people are, in fact, Pick n Pay suppliers. So it's even more efficient because the stock is now actually in the building. So it's a win-win across all the pieces of work that we're doing there. So that's another fantastic huge piece of work that we've got done and ticked off. Our digital transformation. And the reason why I call this out is just simply that there is a lot of talk around what is going on in this marketplace in terms of digital transformation and retail media and all of this. We have been in this for ages. In fact, we started selling our data at the end of my days in my previous life at Pick n Pay already. So this is nothing new. It continues to evolve. It's a very, very important part of the business, and we will continue to grow this. But in all of these areas, retail media and data analytics for our suppliers, this we will continue to grow. As we do, Smart Shopper, very, very important to us. It's a key part of our business, as I said before. And then obviously, our value-added services. We've received quite a lot of rewards and awards and accolades for the advertising and marketing that we've done. I think you will see in the company that our marketing is a lot crisper. It's a lot clearer, and it's a lot more targeted and directed than it used to be. Clothing. Our Clothing continues to perform fantastically and just extraordinary, where Pick n Pay has really found a segment in the marketplace that Hazel, and her team, have clearly really been able to identify what it is that their customers are looking for in terms of value and in terms of fashion, and it continues to grow strongly. Boxer, Marek and his team has -- they've just done the most extraordinary, extraordinary job of work. As you say, Lerena, they are now experienced results and roadshow presenters. Marek phoned me this morning to wish me well because he had a week like I'm going to have 2 weeks ago. But Boxer truly is an absolute, absolute gem. I mean they're just in the right spot and their virtuous circle is incredible. So to Marek, to you and your entire team, all I can say is, well, well done, my friend. We're very, very proud of you, and very privileged to have you as a part of us. Supporting our communities, notwithstanding the fact that we are busy working our way back into the sunshine and busy working our way back into profit, we have doubled down on our efforts in terms of what has always made Pick n Pay what it is. When Raymond and Wendy started Pick n Pay, there was always the fundamental belief that this is a company for the people, by the people and that you invest in society, you invest in community, and it is something that we have doubled down. We have a CSI WhatsApp Group. And I'm just astounded every week, every weekend, during the week at the updates that just continually get flicked through where right across the length and breadth of this country, our people just do the most extraordinary acts of help, of reaching out to community and supporting people in need. It's really magnificent. This has been one of the really wonderful things for us and a great privilege for us to be a sponsor of the Springboks. And at the start, it was always a case of the Springboks being the one thing in this country that unites South Africa and pull South Africa together because if ever this country needed to start pulling together, it's now. And that's why for us, in the first instance of the Springboks, it was more than just about sponsoring the Springboks. It was a symbolism of actually taking what it is that unites this country and brings it together and also making a statement that Pick n Pay is here. Pick n Pay is going nowhere. And as we say, South Africa, we've got your back. And hopefully, South Africa has got ours, and is starting to show in the footfall in the stores. But more importantly, it's not just about sponsoring the Springboks. It's about the work that's been done at grassroots level in Rugby. We don't realize just how important Rugby is amongst the youth in this country today. And you can go across the length and breadth of South Africa and see how Rugby is really becoming a force for good and a force for getting the country together. So we're massively involved down at the grassroots level in Rugby as well. So that's fantastic. So just a couple of closing remarks here. And as I said in the beginning, our strategic priorities that we put in place, we're kind of working our way through them, and we've got most of it ticked away. When we look at leadership and people, there's still obviously the issue of succession. I'm still here for another 2.5 years, and it is something that is top of mind for us. And we're busy working at all of our succession programs in that regard. And then also about building leadership within the company from within the company again because that's what retail is. It's about growing your own people. Accelerating our like-for-like sales, as I said, we're still working hard at that, and we'll continue to work hard at that. We continue to strengthen our partnerships across the board and to work with our landlords very, very importantly and to make sure that, that moves in the right direction as well as our supplier base. We reset the Store Estate that's kind of done. And the Future Fit structure is still work that is underway. And that's having a look at what is our store OpEx structures, what are our support OpEx structures. And those are things that are just work in motion as we go forward day-to-day. So I really just want to thank all my colleagues in the company that I'm privileged to work with and to be a part of. I can feel -- I had to -- I had an interview with Alec Hogg, before I came here earlier this morning. And Alec asked me, what does it feel like, Sean, when you go into the company and when you go into the stores compared to when you came back 2 years ago? I think that I can say without any fear of doubt that this is a different company today. Are we where we want to be? Hell, no. But are we well on the way on this journey? Absolutely. And I've said before, this is like climbing Mount Everest. I said, our journey is at Mount Everest. So Alec asked me this morning, well, if you think of Table Mountain and not Mount Everest, where are you in Table Mountain? I said, Alec, we are solidly at the cable station at the bottom there. We bought our ticket, and the cable car is on the way. We know where we're going, but we've got a journey to get there. But we know what it looks like. We know how to get there. And I want to thank everybody for their support, not only the people inside this company, but very, very importantly, the investors in this company who stay the haul with us, stay the long haul with us, the family, Wendy, Gareth, the Ackerman family for the support that they've given to both myself and the company. And it's a great privilege to stand here as the CEO of this wonderful organization. So thank you very much. I don't know if there are any questions.
Unknown Analyst: [indiscernible] I'll speak for now.
Sean Summers: Yes.
Unknown Analyst: Sean, Lerena, well done on the great work you've done so far [indiscernible]. Well, the first one, you mentioned a lot of -- you want to add new skills into the -- reintroduce the skills into the business. Can you elaborate on what skills you're looking for, what positions, and how far along that journey are you? Have you like got more people to hire?
Sean Summers: Yes. So the whole issue of skill, retail is -- it's a beautiful business. But when you ask yourself the question, where do you find retailers? I mean, you can't go to a college, you can't go to a university and go and find retailers. So retail by its very nature is something that you learn on the job. We had for a protracted period of time, done away with all of our training modules and our training manager programs that we had in place and Thembi is over here. Thembi heads up People for the group. So we've reinstated all of these things back in. And one day, Wendy asked me the question, just put in sort of not simple terms, Wendy, but Wendy said, Sean, just try and give me an understanding of what's really happened in Pick n Pay? And I said, I'll give you an analogy that Raymond would understand because he was a keen golfer. In years by, if we went to our stores, our leadership teams and store levels were all good single handicap golfers. Today, you're going to stores and there are most probably 16, 18 handicaps, 20 handicap golfers. Now you can't blame the people. Because everybody starts, if you play golf, you start with a really lousy handicap and then you work on improving it. And it's exactly the same in retail. So it takes time to reinstill and reinstate these skills at store level. So it's an operational thing at store level. It's a case of ownership that managers truly understand. This is my store. I take total responsibility for it. But then you've got to find great bakers, great butchers, good blockman because these are the skills and the artisans that one needs to put back into the business again. Otherwise, what are you? You're not really doing a great job. So we have to reinstate and rebuild all of those skills back into the business. And we're making really good solid progress now of creating these bases where we've taken in every single region now, we have identified stores where we're doing butchery training, bakery training. And so you've got to train these people and then you've got to make sure that they stay. So you have to create an environment that makes sure that it's conducive for them not only to learn the schools, the skills, but that they don't get poached and leave. So you've got to create an environment where they want to stay as well. Somebody said to me once that you spend a lot of money on training. Is it like really sort of worth it? And I said, well, yes, I think so. They said, well, what happens if you train them and they leave? Well, I said, what happens if you don't train them and they stay. So it's an investment that one needs to make. And we're on that journey.
Unknown Analyst: And just on the franchise. The franchise started to revamp. We heard there was a new agreement that came in about 1.5 years ago. Now there's another new agreement. What are the changes you've been making to reinforce that...
Sean Summers: So the changes fundamentally for the franchise in that agreement really is just dealing with widening their margin. So it's giving them more of a margin or profit for the individual franchisees and operators. And when we have a look at our aging debt and stuff in franchise, we've got hold of that. It's in a much better way around than it has been for a long, long time. And that's all to do with the health of their income statement at franchise level. So that's where we've been applying a lot of attention. No further questions. Anything online? [ Tam, ] yes?
Unknown Executive: A question from Paul Steegers. What is your outlook for Pick n Pay internal inflation for the remainder of the financial year?
Sean Summers: So we're sitting at the moment at about 2.1%. Lerena, is that right? The figure?
Lerena Olivier: Yes. Spot on.
Sean Summers: So many numbers in my head at the moment. So we're sitting at about 2.1% at the moment. I think that one may see that there are certain commodities like rice and maize are, in fact, coming down, which means that poultry prices should also come down. I think that inflation may actually go down. I think it may get closer to 1%. I think in some of the basic categories, you may even see it getting closer to a bit of deflation. If you look at the GDP, what is the GDP? It's about 0.6%? You clever people in the room should know this. And I think that the forecast was to be circa 2%, 2.2% or 2.3%. So we can look just from that perspective as well as not only inflation down, which obviously creates another level of challenge for us, but the GDP is also down. So I come back to this really, really constrained market. This market is tough. And here again, when you sit and speak to the major manufacturers, and I spend a lot of time talking to the big suppliers, all suppliers. For them, they look at the total market. So I mean, if you speak to the 2 sugar suppliers, you basically got sugar done. And then when you have a look at the total market and the dynamics that are there, there are certain categories in this country where people are trading down dramatically. We can see it in Boxer, where we can have a look at the profiles of what protein is being bought there. And you can see the things like Russians, viennas, polonies. You can see how those are just soaring in terms of sales because people are just battling to afford normal protein, red meat and chicken. So these are dynamics. The market is really constrained. And inflation, I think, will actually go down, not up, would be my prediction.
Unknown Executive: Another question from Paul Steegers. Please could you explain how you calculate your like-for-like growth for Pick? Do you strip out those stores that are ought to be closed or converted to Boxer?
Sean Summers: Yes. Those come out. And like-for-like sales is purely like-for-like stores. So that gets stripped out. Sorry, Lerena, you can...
Lerena Olivier: Correct, Sean. You passed the test.
Sean Summers: Checking with the head -- just checking with the -- my Chief Sales Prevention Officer. This is...
Unknown Executive: Question from [ Titanium Capital ]. The Pick n Pay gross margin is 16.9%. Can you please provide a separate gross margin percentage for corporate and franchise operations?
Sean Summers: No. There's levels when we come to segmental disclosure, there's levels that one goes to. And I know that you'd like to have the P&L for every single service area and every single store and build it up from there, but that won't be happening anytime soon.
Lerena Olivier: But noted.
Unknown Executive: From Reuters. Could you please explain when the group expects to reach breakeven and how this will be done?
Lerena Olivier: I mean our guidance is for us to get to those objectives by FY '28. And it will be done through the initiatives that actually is still projected on the slide. It effectively looks to growing the business through like-for-like sales as a first step. As I think both Sean and I have mentioned, the store closures is now largely in the base. So from now on, one would start to see positive sales growth momentum. And we have just improved our gross profit margin, and we do believe there is more to be had as we go on the journey. And then there is the initiatives across the entire expense base. I mean the MOA that we've just signed with DP World is a very, very important strategic pillar. We expect to see those efficiencies coming through over the next 24 months as they unfold. So it literally is driven by each of our Future Fit initiatives.
Sean Summers: I think important, Lerena, to add to that, our margin has widened this year by the amount that it has. We've given more margin to our franchisees, and we're absolutely price competitive in the marketplace. So if you look at the independent pricing surveys that have been done, they all absolutely bear that out. So it's not us marking our own homework, which would show you that when 18-odd months ago, when I returned here 24 months ago, our buyers and merchants in the company were more focused on recovering money than actually trading. And I said this must come to an end. We must get back to trading and buying and selling and doing what buyers should be doing. So I think that this is most probably the greatest manifestation of the success that's been had in that regard. We're just back to being good basic retailers again when it comes to buying and selling.
Unknown Executive: Question from David Fraser at Peregrine. From a strategic point of view, do you envisage holding on to the Boxer stake indefinitely? Or would you consider an unbundling down the line?
Lerena Olivier: We are very, very happy with the Boxer performance, and we are very, very happy to own 65.6% of Boxer. As a matter of fact, we would have loved to have still 100%. So we are definitely very happy with the performance and what the team is delivering for PIK shareholders.
Unknown Executive: Another question from Kabelo Moshesha. Post the completion of the hiring process, will the like-for-like employee cost growth revert closer to inflationary levels? Is there more investment required post this period?
Lerena Olivier: I think the way you need to think about it is our objective to get our like-for-like expense growth below our like-for-like turnover growth. That is what our key initiatives will deliver, and that will include efficiencies in employee cost stores. Sean spoke to support office initiatives, looking at efficiencies in store, et cetera. So as this unfold over the period of the plan, you would see that like-for-like number coming down.
Unknown Executive: Question from [indiscernible] from Verition Fund Management. Would you be willing to consider a Pick n Pay share buyback as the turnaround strategy continues delivering results?
Lerena Olivier: I think where we are currently, we are focusing on our target to get the business to cash flow breakeven. And once we have achieved that, one will consider future options.
Sean Summers: And I think one must also add to that, that as we get back into a stronger financial health and cash generative again that we need to continue investing inside the company and getting our state back to the condition that it needs to be in.
Unknown Executive: Question from Cobus Cilliers from Value Capital Partners. I wanted to know something about the overlaps between Pick n Pay and Boxer. Given the procurement processes for the 2 companies are independent, are there any specific important overlaps between the 2 entities?
Sean Summers: No. It's one of the things that we did is drew a real clear line between what Boxer does and what Pick n Pay does. Boxer's philosophy, how they buy, how they go to market is so far away from what Pick n Pay does. And we don't want to mix. We don't want to confuse that in any way, shape or form. So on a piece of paper, sometimes these things look like they make sense. But in reality, when you actually come to implement it, it doesn't work.
Unknown Executive: Another question from Paul Steegers. Please talk to the additional investments you have to make that cause Pick segment loss to not improve in FY '26 versus FY '25?
Lerena Olivier: I mean I think we have discussed them now in the Q&A. Largely, a lot of them will definitely be the key skills we need in an operational level to ensure that the in-store execution keeps on driving our like-for-like sales.
Unknown Executive: Question from Ya'eesh Patel at SBG Securities. Please, can you speak to the CapEx cadence in the Pick n Pay stable? Is there not an element of underinvestment, which could bite over the medium term? How should we think about this?
Lerena Olivier: We are very, very careful to ensure that we spend where we get returns. I mean the question is a very valid one, but we also need to make sure that our operational excellence on ground level is established to ensure that we get the returns. So we are measured still in our spending, but we have got the ZAR 3.9 billion on balance sheet and where we believe that it can unlock returns, we will definitely spend the money.
Sean Summers: And I think another point to that, Lerena, is it's not just about spending money on stores. You can build the greatest brand-new swanky store, but if you don't have the right people in the store and the product is not there, you're still not going to do the business. So it's not that the whole of the Pick n Pay real estate is broken, not at all. I mean we have a lot of great stores in this company. Certainly, there are some key stores that need some work done to them. That is an absolute fact. But I mean, there's also a big chunk of our state that's great. So we mustn't have a look at Pick n Pay and think that the whole thing is broken. It ain't.
Unknown Executive: Another question here. What is your view on the amount that is being spent on online gambling and its impact on disposable income?
Sean Summers: This is a really, really current topic, and one can see that there's been commentary from virtually every financial institution. There's been so much talk about it. But I think context is always important. So if we have a look at the, I don't know, ZAR 1.6 trillion or ZAR 1.7 trillion that is turned over in the space of gambling in South Africa. There's somewhere north of about ZAR 70 billion that has been taken out of this market at the moment in terms of profits that have been taken in the gambling industry, the bulk of which is in the online gaming space, not in the casinos and horse racing and the likes, where employment is created. At least in casinos, you've got hotel rooms and [ crew peers] and cleaners and all of that. And in the horse racing industry, you've got a whole industry there. If one looks at online gambling, they don't create new jobs. These program writers are all sitting in other places offshore. ZAR 70 billion a year. I mean, if you think of ZAR 70 billion a year, that's basically Pick n Pay's total revenue, we're still a big company. It's the equivalent of everything that's sold by Pick n Pay is taken out by a few people in profit every year in a highly constrained market. It's over ZAR 1 billion a week has just been hoovered out of the economy. It's difficult. I mean a lot of the research work that's been done by some of the institutions, it would appear that north of 20% of SASSA bonds are going straight into gambling. It's horrendous. It's horrendous. Now how does one deal with it? Smoking was a cancer. And then one of the ways that they dealt with it was that they banned all marketing and promoting of cigarette products and tobacco products. I think we need to give serious consideration in this country to a similar move that all marketing and advertising should be banned forth with, the same as you did with smoking. It's not a crazy thought. You look in Europe, I mean, in Belgium, Holland, Italy, there's no marketing of gambling, it's illegal. Even if you look in the United Kingdom from next year, now will be not possible to put a gambling logo on the front of a soccer jersey. So even in countries like the U.K., it's starting to move. So I think this is an industry that is totally out of control. I think that the poor and the vulnerable and you know even kids, I mean, all you need is your mom and dad's ID number, sign up on the app, put in the ID number and you're off to the races. I mean, I speak to people that are teachers at schools and what have you, and they tell me about the stress that's happening amongst kids where kids are sitting in school gambling on the apps on the phone. It's a problem. It's a huge problem. So I think a serious consideration needs to be given to what is actually happening inside society in this regard. It's not just about the greed of chasing the profit.
Unknown Executive: It's a question from Nick Webster at HSBC. There's no mention of liquor performance in the presentation. Could you give us some color here and if it's accretive to the Pick n Pay like-for-likes?
Sean Summers: Yes, our Pick n Pay liquor like-for-like sales continue at a similar pace as the rest of our like-for-like sales and liquor continues to grow. It's also a fantastic category for us. We just want in this presentation not to get too granular in terms of calling out everything and just really get to the headline stuff that really people want to know about, and that is what's happening to the core underlying Pick n Pay at a top line level.
Unknown Executive: Another question from Johannesburg. What is your opinion on Walmart entering the South African market? What do you believe will be the impact on SA Retail in the short term?
Sean Summers: I think it came about 17 years ago. 16 years ago, didn't they? They arrived, yes, 16 or 17 years ago, so it's not like they've just arrived and cleared customs. I know it's quite slow to get through the airport, but they've been here for a while. It would appear at this stage and one is never sanguine about these things because they obviously are a mighty force clearly. From the stores that we've seen that have been identified, it's more a rebranding exercise than anything else. So it would appear that there's some of the real estate that they'll rebrand, and we'll keep an eye on them. But they've always been here, always been here.
Unknown Executive: And then another question from Ya'eesh Patel at SBG. Please, can you speak to any dynamics over the past 6 months in the chicken category? Any shortages for Pick n Pay experienced?
Sean Summers: Yes, we had the problem with the MDM issue and out of Brazil because a lot of product that comes into this country, MDM is the backbone of what happens for the lower-end proteins, Russians, viennas, polonies and all of that. So that has a profound effect on that. Obviously, chicken feeds as well is a massive piece of the market for Boxer and the like and even in some of our Pick n Pay stores. And then on poultry in general, we had the foot and mouth issue on red meat. So we had a spike in red meat prices, which obviously then put more pressure on poultry, then we had poultry shortages. So the poultry market has been under a lot of pressure as well.
Unknown Executive: Question from Keenon at Investec. Are you seeing a highly promotional environment in Pick Clothing?
Sean Summers: The clothing market is interesting because obviously, you've got our friends from SHEIN and the like that are sort of playing silently in this space, but growing enormous volumes in this country, absolutely enormous volumes. But if we have a look at our clothing offer within Pick n Pay, we're really not that promotional because I mean, we have -- when I say we're not that promotional, we have a value proposition, and we present fair value to the consumer. So our clothing is not massively price driven. But the textile market, as you know, you can see from the result of the other retailers has been under pressure in the last while. And it's going to be interesting to see, as I say, as we annualize through the two-pod system now because a lot of the two-pot spending that actually went back into the market didn't really go into food. A lot of it went more into sort of clothing and housewares. So let's see how that annualizes out.
Unknown Executive: Question from Thishan Govender at Truffle Asset Management. Any guidance on when core Pick n Pay is expected to be free cash flow neutral? And what is the top line like-for-like gross profit margin and OpEx needed to get there?
Lerena Olivier: Shall I just pull out my spreadsheet, Sean.
Sean Summers: Yes. It's an addiction we are under in.
Lerena Olivier: Our guidance remain on the full cash burn for the Pick n Pay segment towards FY '28. And ultimately, the way you need to think about it is that we need to get our trading profit after lease margin to 0. And to do that, about half, we believe, will come from our gross profit and the other half from our trading expenses.
Unknown Executive: A question from Citi. Can you provide some color on clothing post-period trade?
Sean Summers: Clothing post period trade. continues to show the similar trend pre. We haven't seen any marked drop off from before. So yes, we're really, really happy with the progress that Hazel is making, the new stores that are opening. We've -- from an excess merchandise markdown perspective, we've really done a great job of getting ourselves a lot more efficient and cleaner in that area. So we're very positive about where we are at the moment in our clothing business. And then obviously, the Springbok apparel and merchandise is another great thing for us in that area. We do an unbelievable amount of business in Springbok apparel and merchandise.
Unknown Executive: I have 2 more questions. One from Daniel at Ashburton. Could you speak to the outlook for cost growth into H2, including Boxer?
Lerena Olivier: Boxer will continue to grow as they're opening their store estate. So you will see similar levels of growth in the Boxer business. And I think the Pick n Pay shape will also reflect the first half.
Unknown Executive: And a last question from Nick Webster at HSBC. Could you comment a bit more on your enhanced private label offering in terms of categories and current penetration to Pick n Pay?
Sean Summers: Yes, certainly. We've done a lot of work in the last while of cleaning out a lot of house brand product that was in store. That was not particularly well conceived at the point in time when those ranges are put together. We've taken No Name brand again. And again, we've cleaned up the No Name brand range. We've got rid of a lot of items that should never have been in No Name brand. No Name brand was always understood to be in certain categories and in certain commodity groups and present a certain value profile to our customers. So we're busy refocusing that again at the moment. We've got new packaging that's going to be coming forward that will be taking us and really putting No Name brand back as the hero that it should be and a very, very well-known house brand in the country, one of the leading ones. And then on the Pick n Pay brand specifically and Live Well. There's work that's been done behind the scenes there as well. So as I say, we've been getting cleared of a lot of product that was just -- that was not really serving the purpose that it should serve. So I think within the next 12 to 18 to 24 months, you will see quite a radically revamped and repositioned house brand range in the market. But -- our front door always in this company has been branded goods you know at prices really low. That's always been the key hallmark of our success in the company, and that's our backbone. And then your house brand sits on the side of that and performs a very, very important function. And then obviously, on the other side of that is Fresh, which obviously a lot of that is house brand just by nature, but a massive amount of energy and effort going into Fresh. So a lot of stuff happening.
Unknown Executive: From David Fraser at Peregrine. Is Pick n Pay core profitability during or at the end of 2028?
Lerena Olivier: During.
Sean Summers: Morning, David.
Chris Logan: It's Chris Logan. Very well done on all the notable improvements. If we consider the tough competitive environment you're faced with, and your trading expenses as a percentage of sales at 22.2%. They're very high historically, and they're high in relation to your GPU of 16.9%. Are you not going to need to take more radical steps to get your trading expenses in line?
Sean Summers: You see the critical thing, and thanks for that question because, I mean, that's the vital journey that we're on. So the 2 key metrics in this business, obviously, is your top line sales and then your margin. And then obviously, your trading expenses. But your trading expenses, okay, if you look at your trading expenses, a lot of them are not that variable. When you take cost of occupancy and rates and taxes and rents and all of those kind of things. So a lot of that outflow, the only real variable you got there is kind of sort of your wages and stuff that you can flex. So yes, it's absolutely the nub of where we are. And top line is everything because if you lose the momentum on the top line, there's no way that you can cut your expenses as a rate to offset loss of momentum at the top line level. And that's why one of the constraints currently in this marketplace is top line sales. Now I don't sit here -- we don't sit here in Kenilworth and have this set of circumstances, the macro economy looking at us and our colleagues down over the hill over there or nearer to that side of the mountain on the other side over there, they have a different set of dynamics. They're operating in the exact same market that we're operating in. So these things are common to all. So the pressures we feel, they feel as well. So you see our expenses, if we can get our top line growing at the rate that can continue to show these trends, your expenses -- your wage expense and your fixed cost expense all comes down as a proportion of it. So the work that we are doing currently to do the OpEx reset, to have a look at the store labor reset and all of that stuff that we're doing, this is all work that's happening quietly behind the scenes, and it's ongoing. It's ongoing. We just need your support in the store shopping with us, and then it will help us get there.
Unknown Executive: Sorry, Sean, one more question. Is the group breakeven including Boxer for the full year?
Lerena Olivier: It's specifically focused on Pick n Pay.
Unknown Executive: Okay. And then the last question, can you clarify if the full year guidance for F '26 is on the trading profit pre-leases level?
Lerena Olivier: It is on the trading profit pre-leases level.
Unknown Executive: And that's it from...
Sean Summers: Okay. Yes, sir.
Unknown Attendee: One of the important slides you presented of the social welfare benefits you bring to the country, why isn't this more promoted? I mean, with all the problems you're resolving, don't you think we should be more aware of the benefits you're bringing to the society?
Sean Summers: A good question from one of our faithful long-term shareholders, private shareholders. We appreciate it. And I appreciate that question. There's a famous saying in life that the hand of the receiver should never know the hand of the giver. And it's something that we also believe in, in the company. So I think just to continually quietly investing in community and doing what you do, creates far more long-term loyalty and sincerity with the communities that we deal with because I know that we're there for them. And it's always been a philosophy of ours and a belief of ours that we just quietly get on with it, and we just change lives in communities. In fact, we've got Suzanne sitting here, who's been at the forefront of a lot of this, and a lot of that instilling that culture into the company. And doing good is good business as our Chairman taught us, Chairman and Founder. Okay. Thank you very much, indeed. Wish you all of the best. Have a great week. Mine is going to be spectacular.
Lerena Olivier: Thank you.